Operator: Greetings, and welcome to the Plug Power’s Fourth Quarter and Year End 2017 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Teal Vivacqua, Director of Marketing Communications. Thank you. Please go ahead.
Teal Vivacqua: Thank you. Good morning and welcome to the Plug Power 2018 Business Update Conference Call. This call will include forward-looking statements, including but not limited to statements about our expectations regarding full year 2017 revenue, deployments of GenKey sites and GenDrive units, gross margin, bookings, liquidity and cash collections in usage, the impact of the Amazon and Walmart relationships and the revenue to be derived from those relationships and our outlook for 2018, including growth, future cost reductions, expansion in Europe, further testing and expansion of applications for ProGen, including opportunities in the on-road electric vehicle market and achieving positive cash flow and gross service margins. We intend that these forward-looking statements to be covered by the Safe Harbor provisions or forward-looking statements contained in Section 27A of the Securities Act of 1933, Section 21E of the Securities Exchange Act of 1934. We believe that it is important to communicate our future expectations to investors. However, investors are cautioned to not unduly rely on forward-looking statements because they involve risks and uncertainties and actual results may differ materially from those discussed as a result of various factors, including but not limited to the risks and uncertainties discussed under item 1A, risk factors, in our Annual Report on Form 10-K for the fiscal year ending December 31, 2016, and our definitive proxy statement on Schedule 14A filed with the SEC on May 23, 2017, as well as other reports we file from time-to-time with the SEC. These forward-looking statements speak only as of the day on which the statements are made and we do not undertake or intend to update any forward-looking statements after this call. At this point, I would like to turn the call over to Plug Power’s CEO, Andy Marsh.
Andy Marsh: Thank you, Teal and thank you everyone for joining Plug Power's fourth quarter and year-end conference call. This morning, we announced our fourth quarter and year-end earnings. Just as a reminder, in the first quarter 2017, we changed the structure of our earnings release to a shareholder letter. This shareholder letter provides management’s insights in the company’s prior performance and our outlook for 2018. On February 8, Plug Power provided highlights for 2017 and set expectations for 2018. During the brief formal presentation today, Plug Power will focus on 2018 and devote most of the call to questions and answers. So let us start with our focus for 2018, is to grow revenue, and our target this year are $155 million to $180 million and achieve EBITDAS breakeven in the second half of the year. Critical in that effort is a reduction of both service cost and hydrogen. Service cost reductions are being achieved by our longer-life stacks and higher utilization of our service staff. Hydrogen cost reductions are being achieved via efficiency improvements of our hydrogen fuel systems The second item which is important to growing the business is expand our footprint with present customers, completing multi-site agreements with the largest retailers and manufacturers, European business growth, and simplified fueling stations to facilitate smaller distribution centers. We expect more success in all of these endeavors in the coming year. During the last call, news was breaking at the Investment Tax Credit for fuel cells was on the verge of passing and events occurred the next day. This law, in effect through 2022, allows many of our customers and banking partners to receive an immediate 30% tax credit on their purchases of fuel cell devices, with some reductions in the outer years. This law will be helpful to Plug Power’s long-term revenue growth, gross margin enhancement and cash flows, with significant benefits in 2019. Plug Power expects some financial recoveries for deals completed in 2017, which will be beneficial to this year’s cash flows. I’d like to emphasize that company has demonstrated the ability to rapidly grow without the Investment Tax Credit, as demonstrated by our 55% top-line growth in 2017, but believes this will be an additional accelerator for the business. Today we also provided a bit more insight into our China activity. We’ve engaged Barclays to assist us in identifying, engaging and negotiating a JV with potential partners. Plug Power’s goal is to have a partner with strong market access and internal demand that will allow the company to have a significant ownership position with protective governance rights and a commitment to long-term partnership. Today Plug Power has received more than a half dozen term sheets based on these objectives from Plug. The six leading companies have market capitalizations on average of over $15 billion dollars. Assuming and this is important that our partnership criterias are met, we target selection of a JV partner in the near to mid-term. But to conclude, I would like to reiterate that our priority remains building a profitable material handling business. The value proposition is proven; world largest retailer and the world’s largest internet retailer are doing mass deployments of our solution. The promise of this material handling market should not be understated. Though large, our deployments have captured less than 1% of the forklifts running in the world, leaving headroom for growth. In addition, McKinsey predicts that this will be the common solution across the industry in time. With our leading-edge products, advanced stacks, and experience in fueling, Plug Power’s products are applicable to a variety of industries. The growing strength in our core market and our robust technology foundation positions Plug to enter these markets when entry makes business sense. Paul and I are now available for questions.
Operator: [Operator Instructions] Our first question comes from Chris Souther with Cowen. Please state your question.
Chris Souther: Hi, thanks for taking the call. It looks like R&D was up slightly in the quarter. Should we be thinking of that as a new runrate for 2018? Or were there any one-time projects in there?
Andy Marsh: No, I think, we actually – I think it’s consistent and that we will expect it to be consistent as we go forward. There may have been a little bit of product development investments, but nothing upsize initially any one-time events that we would discount. So, I think that’s a good proxy.
Chris Souther: Okay, it’s helpful. And then, you guys have discussed some of the progress you’ve made evaluating partners in China. Would you be able to give any color on specific applications you’ve been looking at there? Or is it buses, trucks, any passenger vehicles, just trying to get some more insight into the market strategy there?
Andy Marsh: Sure. When we look at the market, I think this is generally accepted, when you look at what’s been outlined by the Global Hydrogen Council which is, as you know a conglomeration of twenty of the leading fuel cell and hydrogen companies and energy companies in the world, when you look at it, the first real markets in China will be commercial markets that being trucks, delivery vans, buses. And I think these later markets will be passenger vehicles and I think it’s generally accepted in China that that’s probably five years out. Part of people we are speaking with have capabilities like many large Chinese conglomerates which go across both commercial and passenger vehicles. I would believe that any success in the next three to five years will be more geared towards the commercial vehicle markets. 
Chris Souther: Okay, and then, the last one, coming back to the U.S. What is the feedback then on the tax credit extension? Has that had any impact on the sales pipeline or customer discussions?
Andy Marsh: Chris, that’s – I mean, I think that if there is a catalyst that – for this business, it really is associated with – in the near-term, it’s really associated with the ITC. When I take a look, since the passage of the IT, our customer engagements have significantly accelerated. Look, our customers have assumed and we haven’t necessarily assumed this that the ITC would never exist. Many of them are going back and reviewing their business cases and I really think that the big benefit will be in 2019. But we are going to see benefits – some benefits in this year especially on the booking side, as well as on the margin side with the passage of the ITC. There is a big deal and I think that when one thinks about our success in growing this business without the ITC, over the past year, this is going to be an additional accelerator and as I mentioned, especially in 2019, just because of our customers planning cycles. 
Chris Souther: Perfect. I will hop back in the queue. Thank you.
Operator: Our next question comes from Chip Moore with Canaccord. Please state your question. 
Chip Moore: Hey folks. 
Andy Marsh: Good morning, Chip? 
Chip Moore: How is it going?
Andy Marsh: Okay.
Chip Moore: Good. So maybe just following up on that last one. I think you talked about potential, but maybe little modest benefit from ITC this year. So, I guess, you are just staying conservative in the guidance believing that for 2019 just the prudent thing to do would be the first question and then, some of those cash flow benefit you could see from some recovery. Anyway, quantify that at all. 
Andy Marsh: I will handle the first question and I’ll let Paul to take the second question. And that, I think when I look at it Chip, these are feed customers we deal with Plug and they have planning cycles and you want to catch these customers at the right time. Certainly, many of them have reengaged with us at a different level. But one thing I don’t want to do here is, make promises for something that could happen in the fourth quarter and it slips into the first quarter during negotiations. That’s – when you are also dealing with these large customers, it’s positive that they are not that with the change, once you are in, but they are also not – you also have to work through their internal processes. So, I do believe that this is going to be quite beneficial, both on the revenue growth side and margin growth. We are only a month into this now. And as I mentioned before, where we may have maintained that was going to pass during the – since the late 2015. Customers were a little bit – are a little bit more cautious, you were not nearly as deeply engaged as we were. So, I think that, the activity certainly is accelerating. It’s going to be beneficial. It’s hard to put exact numbers around it today. Paul, do you want to talk about recoveries?
Paul Middleton: Yes, I think, the good news is, we have a very strong relationship with our financing partners that continue to be supportive. They recognize that their ITC passage comes largely from the efforts that Plug and a few other industry leaders have driven and they want to be fair in this process and they also have a long view in terms of working with us. And so, we are actually still in the throes of the final negotiations and resolution of that. So the number is not resolved exactly. I will tell you it will be meaningful. And I will tell you that it’s kind of – to give you some context, it’s associated with the five projects that we did with this lease lenders last year. Those financings in total are kind of in the $20 million range for the project financing. So, more to come, as we refine that and we kind of work through that, that discussion with them. But we think it will be meaningful and we think it will happen fairly relatively soon. 
Chip Moore: Got it. That’s helpful. I appreciate that. And, I guess, moving on any update, I think it’s been about a month since the last call, on that. A third potential retailer in North America, any changes in those conversations?
Andy Marsh: I would just say this, Chip, the ITC has been quite, quite beneficial in that effort. Post the passage our engagement level and the negotiations have accelerated rapidly. 
Chip Moore: Got it. That’s fair. And I guess, just lastly, bigger picture, how are you thinking about stack improvements, I guess, more for balance of 2018 and then, at the Investor Day, we talked about that potential step-function transitioning to metal plate technology. Where do those efforts so to stand? Thanks guys. 
Andy Marsh: Sure. It’s on schedule, Chip, and as I think, Keith presented at Investor Day, we will be testing prototypes in the second half of this year with product ramps scheduled for the first half of 2019. So, we are on plan to achieving that goal. 
Chip Moore: Okay, great. I will let someone else on. Thanks.
Andy Marsh: Okay. 
Operator: Thank you. Our next question comes from Eric Stine with Craig-Hallum. Please state your question.
Eric Stine: Hi, Andy. Hi, Paul. 
Andy Marsh: Good morning, Eric. 
Eric Stine: Morning. Just going back to the ITC a little bit, I mean, obviously, this is more of a 2019 event and it’s probably more about bookings this year. I mean, should we think about this more as, it’s new customers that can now get their pencil out again, see if this works for them and come back to discussions with you? Or is it potentially something where your existing customers to speed up their installations? How should we think about that?
Andy Marsh: I know this - I am going to sound like a lawyer here. Both Eric, and now it’s certainly, it encourages our current customers to move quicker. The economics just becomes so much stronger and it also allows others to try. So, I think this has benefits with both and our sales effort is actively engaged on both of those areas you mentioned. I also think, excuse me, I am fighting a cold. It also will help with smaller customers also as it makes the economics again much more attractive. 
Eric Stine: Got it. Got it. Okay. Moving last on, I mean, I am sure things obviously hasn’t changed a whole lot in the last months, but just curious update on FedEx, where that stands in the deployment of the vehicles? And maybe your expectations for that piece of the business in 2018?
Andy Marsh: Yes, that’s a good question, Eric and it’s – as I’ve mentioned before, most of our staff is very, very focused on making sure we hit the financial targets today. But folks like Keith Schmid and myself have spent a good deal of time not only with FedEx but other activities like that. So, we do have a fueling station here and we are deploying products here in the Albany area now. I can – I was actually watching on the screen because it has a GPS built into our unit – of the units running around Albany. And we are seeing really good performance with the units that what item that – I don’t think folks really can fully appreciate it. The requirements for these kinds of products are actually much simpler than our material handling units. They’ll have to go through the environmental stress. They don’t have to run as many hours and we are really pleased with what we see and we do have a couple – I am going to say, again, they are not at the top of the funnel. They are not at the bottom of the funnel. But, there is some global activity we have going on in regions of the world where hydrogen fueling stations are being put in place. And we are pursuing those opportunities based on the success of the ProGen platform running the FedEx trucks. And we are continuing to look for opportunities, especially again in California in the United States with the delivery providers where fuel cell powered vehicles or fuel cell hybrid vehicles as biz truck really makes a lot of sense. So, I couldn’t be more pleased with the performance of the units. 
Eric Stine: Okay, 
Paul Middleton: I wish all of the environments I worked in it, like we are like this Eric. 
Eric Stine: No, understood. And just to clarify though, I mean, your guidance for 2018 is really material handling, you are not including China, FedEx, any of them?
Andy Marsh: It is 99.5% material – actually 99 – probably, 90% to 93% material handling. There is probably another 5%, 6% is on the backup power units I do. And about 1%, 0.5% other activities. 
Eric Stine: Okay, thank you very much. 
Andy Marsh: Yes.
Operator: [Operator Instructions] Our next question comes from Carter Driscoll with B. Riley FBR. Please state your question.
Carter Driscoll: Good morning guys. How are you?
Andy Marsh: Good morning, Carter. 
Carter Driscoll: Good morning. Hopefully, not getting whacked by the storm yet. So, the first question is, I am not going to beat the ITC to death, but kind of the true-up that, you could potentially see, they are getting more confidence in reaching EBITDAS breakeven or could you even potentially generate positive EBITDAS in the latter part of the year, if you’ve got – any of the true-up really does come in the second half of this year?
Andy Marsh: I would say, Carter, that, I’ll let Paul comment too, it obviously makes that path simpler. And I don’t want to use the word more confidence that just provides, I’ll say additional buffer. And so, when we say EBITDAS breakeven in the second half of the year, that means that the summation of the third quarter and fourth quarter will be EBITDAS breakeven. Paul, do you want to add to that?
Paul Middleton: Yes, I think that’s right and the reality is it’s incremental value to Plug and there is some meaningful, will be a meaningful impact. So, obviously, it’s a positive and helps that front. 
Carter Driscoll: In terms of the, maybe qualifying some of the Chinese term sheets or potential joint ventures, could you talk maybe just about some of the potential scope or and/or structure of the term sheet. So, would some include, say, fueling infrastructure, and others might not would some target a different section of – or segment of the partial vehicle space. Just, some level of clarity I think would be helpful. I realize there is no real impact to 2018. But, trying to get a sense vis-à-vis some of your competitors and what they have structured so far in China. The localization components, things of that nature? 
Andy Marsh: Sure. So, I think that, couple items that we have focused on, Carter, that a very high level, I’m not looking for something that just generates short-term revenue for Plug Power. We are playing – we like to have short-term revenue, but it’s much more geared towards finding of partners which has a long-term vision and has a long-term vision of Plug with a substantial ownership position during that time. I think the second item is that, we are looking to do joint ventures with companies that have demonstrated or leaders in the sale of commercial vehicles or have access to those leaders and what also we have found attractive is that, they may have internal demand that can help instantly build the business. I think, I would imagine that this JV would have some capability to manufacture and assemble locally. I also believe that, this JV will be focused on when it comes to hydrogen infrastructure, I think they’ll probably be less of an emphasis on that and using the capability to have that being developed in China at the moment, it strikes me the infrastructure portion of it strikes me as more of a government activity as much as they – and so, I don’t – I am not as anxious just to jump into that. I think there is a lot more complexity in China that’s going to be associated with where it goes, who is paying for it and I think there is a lot of complexity and I think there is a lot of capability and lot of volume associated with fuel cell systems. Does that help you, Carter?
Carter Driscoll: It does, it does. Maybe as a quick follow-up. Do you have any concern giving the increasingly harmful rhetoric coming out of the current administration in terms of IP and/or potential negative effects from increasingly harmful trade rhetoric.?I mean, does that have any impact on your thoughts or structure, potential structure of the JVs though?
Andy Marsh: Yes, I’ll say this, when it comes us this, probably we’re - we’ve been spending most of our time – I shouldn’t say, most of our time, but there is a good deal of effort on internally how you structure IP protection. So that, we don’t lose all we’ve gained over the years. So that is a concern. When it comes to a government policy, we’ve – I was down in DC last week and understanding what’s going on in the trading activity and what the shift is. It’s certainly is in our thought process as we think about structuring it. And look, we’ll keep abreast of it and when I put caveats about the right business deals for Plug, that’s when we will do it and certainly thinking about government relations – government activity here in this phase comes into that equation. 
Carter Driscoll: Okay. Maybe shifting gears a little bit. Help me understand the PPA margins in 4Q 2017, it was a little bit surprising and maybe just the factors that contributed that and how that potentially continues into 2018 or moderates?
Andy Marsh: I am going to turn that one to Paul.
Paul Middleton: Yes, I think, well, in general, this would start with – just our retail customers they have higher peak usage of units in the fourth quarter. So the works cost, other – service cost will be slightly higher, but in general, I would say, it’s really kind of a tale of two stories. One is legacy sites and legacy deals and go-forward deals. And so, one of the major things that happened in 2017 is, as we’ve talked about has been the improvement of the financing of those programs. And so, we are already seeing the benefits, a significant benefit in those structures. And as we go forward, that will only continue to improve. And as you look at the things that we are experiencing in our other product lines and other customers with cost furs on equipment cost, and service and running those – the businesses, they continue to improve. And I think the combination of those continued cost downs or cost equipment and service lines and financing cost for those programs, you are going to continue to see a very positive trend with some overhang of those legacy deals, particularly the ones in 2016 and 2017 where the financing costs were quite higher. So, I think, we will see – we do expect and we’ll see positive trends in that categories that go into 2018 and beyond.
Carter Driscoll: Okay. So you see more of the 4Q as just kind of 1Q blip in terms of just timing perspective?
Paul Middleton: A combination of timing and overhang of some of the legacy deals and as we go into 2018, we certainly start – we’ll see that to trend positive. 
Carter Driscoll: Okay. Maybe a quick update, Andy, on Europe. Obviously they had nice move with Carrefour. We had some other single initiatives with guys like FM Logistics. Obviously there is a big retailing wave out there. Give me your perspective on where you stand in Europe in terms of progress in 2018?
Andy Marsh: Sure. It is, during my prepared remarks, Carter, I did mention that Europe is one of our focuses. And just to give you a feel, I mean, I am heading to Europe on Monday. And we are really focused as you mentioned on the large retailers, the large manufacturers, and especially in areas which have been promoting hydrogen, such as the UK, France, Germany and we are looking not only at new names from Europe, but leveraging our North American successes in Europe. And we have – I think over the past year, we put together systems which will make it easier for us to sell. We have a small office – distribution office in Belgium that helps for our customers. We have service staff already in Europe to success in the efforts. We have a sales team represented in all those key countries and Jose Crespo and myself believe that there is a real opportunity in Europe that in many ways it’s a different environment than the U.S. It’s not that our U.S. customers don’t care about sustainability. Bottom-line, making sure that sustainable solutions lower their cost or a big driver. I wouldn’t say the Europeans are that much different, but they are probably more aggressive in thinking about meeting their carving goals. So, I think that, the business is with Plug has really matured over the past year. We obviously had not been perfect. But the systems, the skill sets are really in place. The relationships with the customers, I think that, Jose and I both feel now is really the time to put that big push in the Europe and it’s quite honestly one of the reasons I am heading there, I’ll be speaking in the UK this week and I’ll be over in Germany is because, we really think there is – now is the time and this business has grown up a lot. I am looking at our processes, our systems, the improvements at our products and we are ready for a global footprint which may not have been the case 18 months ago. 
Carter Driscoll: Okay, and then, maybe the last one for me, automotive customers, you talked about any chance or filing on you couldn’t manage the customer?
Andy Marsh: You are talking about the Chinese – I just want to make sure, we are on the same. You talked about a
Paul Middleton: Q4, there was, yes, we haven’t disclosed, as you know, with customers sometimes are little sensitive as to disclosing names. We just haven’t disclosed that yet.
Carter Driscoll: Okay, all right. I’ll get the rest offline. Thanks guys. 
Operator: Thank you. Our next question comes from Colin Rusch with Oppenheimer & Company.
Andy Marsh: Hey, Cart, Paul remind me, what it was. Now I know the deal you are talking about and let’s make sure we are clear. That’s material handling customer who is in the auto industry. And that deal has actually closed. I just can’t announce this.
Operator: Thank you, sir. We will go ahead and - the next question to Colin Rusch with Oppenheimer & Company. Please state your questions.
Colin Rusch: Thanks, so much guys. Can you just, I guess it’s a sense of how that the inventory position is going to trend throughout the year. Are you going to be able to work that down a bit and how much so?
Paul Middleton: Good, Paul. The answer is, yes, and substantially. I mean, I think, we have a pretty big target to reduce that investment this year as it will be gated kind of in parallel with the growth of the volume is based on current programs. We think, we can pull that down at least, kind of in the 30% or more range if not higher. And that just comes with increased discipline, a focus on running the business and working closer with our key supply chain partners and so we are pretty comfortable. I think, the last half of the last year was, as we’ve talked publicly, it’s dealing with the substantial ramp in the business that we had. And we’ve successfully deployed those programs and as we go forward with increasing volumes, increasing throughput to the facility and it affords us more latitude to be more disciplined and more thoughtful about or more proactive about tightening the reins on some of those key operating metrics and that certainly will be one of them.
Colin Rusch: Perfect. And then, Andy, you talked a little bit about infrastructure in China, and then obviously there is a lot of moving parts here. But you had plenty of experience and you had lots of conversations with folks. What are you looking for, it’s kind of key milestones to – indicator that things are really moving forward from an infrastructure standpoint.
Andy Marsh: Yes, I think that, when I think about China, Colin, I think that, there is three areas. And, even in the United States, people need to think about these three areas. Obviously, we are more mature versus generation and delivery capabilities. And when you think about China, most of the – there is only a ton-and-a-half, a ton of liquid hydrogen. And for moving and transporting large quantity of hydrogen that’s needed, there need to be liquid plants brought online. And there are people engaged in that activity in China. But I think that looking at generation capability is step one, and that’s I think in some ways the markets – the market will move faster once hydrogen is available. The second item which is probably - is probably more a question of time is associated with the requirements of hydrogen availability on the highway. Hydrogen – the level of hydrogen that can be stored at a location and there are committees in place in China that address those issues. And I would think the second half of the year, you’ll see those issues go away. And I think the third item is that, I’d be keeping an eye open for international partnerships in the hydrogen side with the large gas providers, people like Air Liquide and Air Products. Now, they really assist on maturing the network faster and I think, those are kind of the elements I’d be looking at. I think, I haven’t felt – I’ve had to be as eager, because I’ve known – we’ve been there enough that we knew these were challenges and issues. That being said, look, China is best at resolving these kind of problems, because there is some advantages to highly centralized governments that can make decisions rapidly. And China wants to do this and as they did with electric vehicles, they want to do the same with fuel cells and we expect it to happen. 
Colin Rusch: Perfect. I’ll take the rest at offline. Thanks guys. 
Andy Marsh: Great, thanks, Colin.
Operator: Thank you. [Operator Instructions] Our next question comes from Amit Dayal with H.C. Wainwright. Please state your question. 
Amit Dayal : Thank you. Hi, Andy. Hey, Paul. 
Andy Marsh: Hey, Andy. How are you today?
Amit Dayal : Good. How are you guys doing?
Andy Marsh: Good. 
Amit Dayal : Most of my questions have been asked. Just in regards to your efforts in China, does Barclays involving in the process signal maybe your interest in getting strategic investment from one of these JV partners you are considering? 
Andy Marsh: I asked Barclays to help us, because, look, they have a fairly big presence in Asia. A team that they’ve been involved in these engagements for – they’ve been involved in engaging with the leadership at some of these large Chinese entities and I thought they were critical advisor to the activity because, it’s sometimes difficult to really ascertain who really has the business and wherewithal to be able to complete a JV successfully. And I – they’ve given the access to chairmans of companies which are 75, 100 times larger than Plug access at I normally couldn’t guess. They brought brands into the discussion. And we are working with them and they are working with us and can help us negotiate the right deal, what comes out of the final negotiations across a broad range of issues, some of that’s very, very open today. 
Amit Dayal : Understood. And just maybe, in regards to warrants associated with Amazon and Walmart, et cetera, is this basically driven by things that are happening or is there a schedule you are following this, just if you could remind me on that aspect please? 
Paul Middleton: The warrant cost, you mean?
Amit Dayal : Yes. 
Paul Middleton: Yes, so it goes, fortunate with the revenue that we recognize for those two customers over time. And as you may remember, both of them have – the broader programs are correlated with $600 million of volume from each of them. So, as we recognize that over time, there will be a proportionate amount of – which is the warrant cost that gets recognized with it. So, with that’s a schedule there.
Amit Dayal : Got it. And then, maybe on the margins front, we are seeing some improvements happening. Cash flows are showing improvements driven by that. For 2018, should we expect sort of a steady improvement in margins or will this continue to fluctuate a little bit as revenue mix shifts between quarter-to-quarter?
Paul Middleton: Our, well, you always going to have some seasonality and I think we’ve talked publicly about 60%, 65% of our business will happen in the second half, typically just because of those factors and so volume obviously plays some correlation to that, but, fundamentally, we expect in there, or working and our plan is to continue improving those margins. We’ve got specific, Andy talked about the organization being focused on some pretty specific things. And so, our focus and energy is really at continuing to reduce the cost, improve efficiencies and drive that margin profile and I think you are seeing that on the systems margin profile for Q4, it was comparative on 25% less volume from last year in the Q4 rates. That just shows you that we are continuing to drive that cost curve down and it will continue to add substantial margin impact as we grow volumes further this year. 
Amit Dayal : Understood. That’s all I have. I’ll take my other questions offline. Thank you.
Operator: Thank you. There are no further questions at this time. I’ll turn it back to Andrew Marsh for closing remarks. Thank you. 
Andy Marsh : Well, thank you for joining our conference call and we are looking forward to 2018 and looking forward to talking once again in May. Thank you everyone. 